Operator: Good morning and welcome to the Tanger Factory Outlet Centers First Quarter 2020 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded.I would now like to turn the conference over to Cyndi Holt, Vice President of Investor Relations. Please go ahead.
Cyndi Holt: Good morning. This is Cyndi Holt, Vice President of Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers' first quarter 2020 conference call. Yesterday evening, we issued our earnings release as well as our supplemental information package and investor presentation. This information is available on our Investor Relations website, investors.tangeroutlets.com.Please note that during this conference call, some of management's comments will be forward-looking statements that are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties.During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G, including funds from operations, or FFO, core FFO, same center net operating income and adjusted EBITDA. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information.This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to note that management's comments include time-sensitive information that may only be accurate as of today's date, May 12, 2020. At this time, all participants are in listen-only mode. Following management's prepared comments, the call will be open for your questions. We request that everyone ask only one question and one follow-up to allow as many of you to ask questions as possible. If time permits, we are happy for you to requeue for additional questions.On the call today will be Steven Tanger, Chief Executive Officer; Stephen Yalof, President and Chief Operating Officer; and Jim Williams, Executive Vice President and Chief Financial Officer.I will now turn the call over to Steven Tanger. Please go ahead, Steve.
Steven Tanger: Good morning. And thank you for joining us.On behalf of the entire Tanger team, I want to convey our sincere best wishes for everyone's good health and wellbeing during these unprecedented times. The safety of our employees, tenants, and customers are the focus of every decision we have made since the start of the pandemic.On today's call, we will provide our first quarter results and discuss the impact of COVID-19 on our business. Also, we will provide an update on the actions we have taken to fortify our liquidity position, to support our employees, to work with our tenants, and to facilitate the ongoing process of stores successfully reopening. As of today, approximately 18% of the stores in our consolidated portfolio are open. As reopenings increase, we are seeing shoppers return.Prior to the emergence and impact of COVID-19 and related stay-at-home restrictions, we anticipated the start of 2020 would have its challenges. However, January and February performed better than our expectations. As discussed on our year-end call, we expected occupancy and net operating income declines due primarily to the space we recaptured from bankruptcies and brand-wide restructurings, along with select lease modifications.Beginning in mid-March, stay-at-home orders and the classification of almost all of our tenants as non-essential led to virtually all of these stores closing across our portfolio. These closings had an immediate impact on tenant sales and therefore put pressure on variable rents. Our same center NOI in the first quarter was down 3.7%. As anticipated and previously communicated, our consolidated portfolio occupancy declined both sequentially and from a year-ago period ending the quarter at 94.3% occupancy.Additionally, leases that commenced during the trailing 12 months, our average rental rates were down 1.5% and 6.7% on a straight-line and cash basis respectively. Prior to stay-at-home mandates and the store closures, the sales trend was positive. To provide some perspective, for the trailing 12 months ending February 29, tenant sales for the consolidated portfolio were $405 per square foot, and same center tenant sales performance for the overall portfolio increased 4%. For the trailing 12 months ended March 31st, average tenant sales for the consolidated portfolio were $387 per square foot, down 1% from the prior year. Same center tenant sales performance decreased 80 basis points for the overall portfolio. These results reflect the impact of the closures that began in mid-March.Our centers are primarily open-air shopping destinations, and they have never closed in order to support the tenants who were deemed essential and stayed open. Stores in our centers began closing in mid-March as a result of the pandemic. And by April 6, operations at all of our 39 centers were under restrictions. At the lowest point on April 6, open stores represented 6% of the consolidated portfolio in terms of gross leasable area and 2% in terms of annualized base rent.As of yesterday, these percentages had improved to 16% and 12%, respectively, as mandates had eased used or lifted in jurisdictions where 20% or 63% of centers in Tanger’s consolidated portfolio are located. These totals include some stores that are open only for curbside pickup or where maximum store capacity is restricted by governmental mandates. It remains unclear when mandates will be lifted completely, or eased in additional locations.While it is premature to speculate on the timing and pace of ongoing openings, I want to provide an update on what we have experienced to-date. Once mandates have been lifted or eased and stores have been allowed to reopen, we have seen the percentage of stores open to be in the mid-single-digit range within a week. Over the subsequent week, the percentage reopening has climbed to the high teens on average. In South Carolina, which is the state where we have five centers that have been open the longest, after three weeks,, approximately 33% of the stores are now open. We anticipate more stores to open going forward, particularly as national retailers establish opening protocols.From a Tanger perspective, we are fully prepared to support our retailers. During this period of uncertainty and store closures, we did not terminate or furlough any employees. So, we have a talented and experienced team that is ready to pick up again quickly. We are working closely with our tenants as they implement new safety protocols and resume their operations.We are also closely monitoring CDC and other applicable health guidelines to assess these new measures on an ongoing basis. The most important thing we can do today is to demonstrate our commitment to providing a consistent experience across our portfolio that focuses on public safety measures. These measures currently include frequently cleaning of high-touch surface areas, providing signage that reinforces the recommended six feet of social distancing for customers in queue outside their stores, and closing children's play areas. We are working hard to create a safe environment for our loyal employees and our dedicated shoppers.As mandates to close non-essential businesses began, we anticipated that practically all of our tenants would be facing store closures for a period of time. We formulated the strategy to take control of the situation with a goal of ultimately facilitating store reopenings in the most efficient way. To that end, in late March, we offered all tenants in our consolidated portfolio the option to defer 100% of April and May rents while reserving all of our rights under these lease agreements. Deferred rent would then the payable in January and February of 2021, providing what we believe will be sufficient time to rebuild operations and monetize their inventory. With this proactive approach, we allowed tenants to preserve capital in the short term, and in turn, we are helping them to be prepared to reopen as soon as possible. While this approach certainly has a short-term impact on our cash flow, we are focused on the long-term viability of our tenants and maintaining vibrant, highly occupied centers.I am proud of the steps we have taken as a community partner. Throughout this crisis, we have made our centers available for frontline relief efforts. Through partnerships with organizations like the Red Cross, we have hosted blood drives on our properties in many of our centers. Through a partnership with second harvest, volunteers and the National Guard distributed over 1,000 food packs in less than five hours to our first responders from just one of our locations.Jim will provide additional details, but it is important to note that we feel confident that our liquidity position should allow us to successfully navigate this period of uncertainty. Balance sheet strength has long been a core tenet of Tanger, and this discipline is serving us well. We entered 2020 with one of the strongest balance sheets in our peer group, and we have since taken additional steps that we feel are prudent until there's greater clarity. As part of this approach, our Board of Directors has decided to temporarily suspend future dividend distributions to provide additional flexibility and liquidity. The Board will continue to evaluate future dividend distributions on a quarterly basis. Note that we intend to pay the dividend that we declared in January, as scheduled on May 15th, which based on what we know today should satisfy the minimum rate, taxable distribution requirements for the year.We believe, a solid balance sheet is crucial to navigate these challenging times and to reemerge with the strength necessary to pursue potential opportunities that might arise, as a result of this crisis.As we look ahead, the ultimate duration and impact of the pandemic is very difficult to forecast. In the near term, we continue to endure store closures, cautious consumer behavior and the impact of rent deferrals. However, our strategy and our portfolio give us optimism. The near-term opportunity I discussed is regarding new permanent and temporary popup stores to help retailers monetize their current excess inventory. Also, over many economic cycles during the past 39 years, we have shown that in good times, people like a bargain, and in tough time like this, they need a bargain. We believe and our fundamental principle holds true today now more than ever.Most important, our conviction in the outlet distribution channel remains steadfast. The current situation is a moment in time, albeit one that has persisted for longer than anyone could have hoped, but it will pass. While we do not know exactly what long-term changes will arise from this, we are confident that the fundamental value proposition that Tanger outlets provide will persist. For our tenants, we provide an attractive profitable channel with a low-cost occupancy compared to other forms of distribution. For our shoppers, we will continue to provide the brands that they're seeking at the prices they want. While our country has not been through a crisis such as this in our lifetimes, there have been several other shocks to the system over the years that this seasoned management team has successfully navigated and have come out stronger on the other end. I would like to sincerely thank the entire Tanger team for their hard work, dedication and resolve.We're delighted that Steve Yalof has joined Tanger as our new President and Chief Operating Officer. Steve has over 30 years in the retail real estate business on both the tenant and landlord side, working for GAP, Ralph Lauren, and most recently leading Simon's Premium Outlet Division. Since joining the team a month ago, Steve's impact has been felt throughout our organization as he has helped focus our team's efforts on leasing, rent collection and expense management. His extensive experience, working with the world's biggest brands and landlords has already proven fruitful. And we look forward to his welcome leadership as we begin to reimagine our business and develop our future vision for our valuable properties and our brand.I'm now very pleased to turn the call over to Steve.
Stephen Yalof: Thank you, Steve.I'm excited to be here. This is certainly an interesting and unprecedented time to be joining the Tanger team. In my new role, I’m currently focusing on three key initiatives: First, developing, organizing and implementing our strategy around rent collections, and managing our rent deferment program; second, providing support to our retail partners, while they manage their store reopenings and ensure that the shopping experience is safe, organized, and fun for our many loyal shoppers; and third, leading the leasing effort to fill vacant stores with new, permanent, short-term and popup stores.With respect to rent collections and our deferral program, we have prioritized the long-term over short-term collections. And we’re committed to working with our retailer partners towards achieving a mutually beneficial outcome. In late March, we proactively offered all of the tenants in our consolidated portfolio, the option to defer 100% of April and May rent, interest-free and payable in January and February of 2021. Due to the deferral program, April rent receipts represented approximately 12% of the amount billed and that we expect to be lower in May.Our proactive deferral approach is designed to avoid potential defaults, while stores are closed and facilitate store reopening as quickly as possible when restrictions are lifted. Our standard leases specify that rent must be paid even if a tenant is not open. Should we not agree to a deferral or payment schedule with tenants, we will pursue our lease rights and remedies, as appropriate.Our best-in-class property management and marketing teams are currently hard at work, assisting our retailer partners reopening efforts and ensuring that the centers are equipped, resourced and staffed to execute appropriate safety protocol as we welcome back our tenants and our loyal shoppers in the approved geographies. To-date, just over half of our centers are in jurisdictions that have lifted mandates and are welcoming shoppers.Lastly, the outlet channel is widely recognized as the place to find the best brand names on sale everyday in a shopper-friendly and traditionally open-air environment. Therefore, Tanger outlets have been natural destination for brands looking to clear excess inventory that were intended for other distribution channels. Our leasing team is focused on filling vacant stores with permanent, short-term and popup stores aimed at both, exciting tenants and new to channel retailers looking to clear excess inventory, or acquire new customers. While it is premature to provide details on these efforts, we're encouraged by the initial reception and the prospect of adding rent paying tenancy and exciting new brands to our centers in the near term. Tanger outlets remain the lowest cost distribution channels for our tenants.I would now like to turn the call over to Jim to take you through our financial results and provide a brief balance sheet recap.
Jim Williams: Thank you, Steve.For the first quarter, net loss available to common shareholders was $0.30 per share, compared to net income of $0.66 per share in the prior year. This year's per share results were impacted by $0.47 non-cash impairment charge related to our Foxwoods outlet center, while the prior year benefited from a $0.44 gain on the sale of four of our centers.With regard to the impairment charge on our Foxwoods outlet center in Mashantucket, Connecticut, the opening of several casinos in nearby markets since the center was developed has negatively impacted the traffic to the resort and our center, and consequentially the performance of our tenants. Based on the expected decline in the occupancy of the center and its future NOI and cash flows, we wrote the asset down to its estimated fair value.First quarter core FFO available to common shareholders was $0.50 per share, compared to $0.57 per share in the first quarter of 2019. Note that core FFO is the same metric that we previously referred to as AFFO, but we've adjusted our terminology to be more in line with most of our peers and to eliminate the confusion by those that use the same acronym to refer to an after CapEx metric for purposes of computing payout ratios.In the first quarter, for the consolidated portfolio, same center NOI decreased 3.7% compared to the prior year quarter, driven primarily by tenant bankruptcies, lease modifications, and store closures. These results were slightly better than we had anticipated, due to lower operating expenses and snow removal expense as a result of a mild winter season, partially offset by lower variable rents due to the sales impact from COVID-19 in the second half of March.I would like to take a moment to discuss how we are treating the rent deferrals on our financial statements. For tenants who simply take our offer, we will continue to recognize revenue from these leases in our net income, FFO and same center NOI, and record a lease receivable on our balance sheet. Until the deferrals are paid, we will evaluate the collectability of the receivables in each quarter and reduce revenues to the extent the receivable is not probable of being paid. If other changes to the lease contract are made, we will need to evaluate the substance of the change to determine the amount of revenue and the timing of such to be recognized.As Steve Tanger discussed, maintaining a strong financial position is of the utmost importance. We came into this period with a solid balance sheet, and we have taken a number of additional steps to further increase liquidity and preserve financial flexibility through the current uncertainty.As the pandemic spread, we moved quickly to reduce cash outflows. These actions included temporary reductions in salaries for management and cash retainers for the Board of Directors, along with a difficult decision to implement temporary salary reductions for other employees. We have deferred certain operating and G&A expenses as well as certain capital expenditures, including the Nashville redevelopment project at this time.In a move to further strengthening our financial position, we drew down substantially all of the capacity under our $600 million unsecured line of credit at the end of the quarter. As of March 31st, we had a largely unencumbered portfolio with 94% of our consolidated portfolio unencumbered by mortgages and a trailing 12-month interest coverage ratio of 4.5 times. Other than our unsecured line of credit, which matures in October of 2021 and maybe extended at our option for an additional year, we have no significant debt maturities until December 2023.As of April 30th, we had a cash balance of $594 million. Additionally, as disclosed in our release last night, the Board has elected to temporarily suspend future dividend payments, which equates to approximately $35 million on a quarterly basis. These steps will help position us from a liquidity perspective to endure a protracted challenging environment. Based on our estimated pre-COVID-19 cash expenditures of approximately $25 million per month, we expect to have sufficient liquidity to meet our obligations even under our most conservative rent collection scenario of not receiving any rent for approximately two years, assuming no dividend payments or debt maturities, and we remain in compliance with our debt covenants.Finally, due to the uncertainty around the current environment and our limited visibility regarding the length and depth of the impact of the pandemic, we have withdrawn our previously issued guidance. I want to reiterate that despite significant near-term challenges, we remain optimistic. We believe we are taking all the steps necessary to navigate the current environment. We have a resilient model, a compelling value proposition, and a strong balance sheet.I'd now like to open it up for questions. Operator, can we take our first question?
Operator: [Operator Instructions] First question comes from Christy McElroy of Citi. Please go ahead.
Christy McElroy: Hi. Good morning, and thank you. If the collections were 12%, if I think about the 88%, that did not pay, what portion of that 88% signed the deferral agreement versus what remains unresolved? And can you provide any additional detail on the modifications of the leases, if there were any other changes, like a move to sales-based rents or if there's anything that you received in return?
Steven Tanger: Good morning, Christy. Let me be clear. We offered the short-term deferral as a method for the retailers to get open as quickly as possible. We are sensitive to the short-term impact on their cash flow and our cash flow. Since most of our tenants were forced to close by government mandate, we wanted to facilitate their opening stores as quickly as possible when those mandates were lifted. We feel comfortable that tenants appreciate the fact that we wanted to help them through this period of time where they can monetize their inventory and bring back their employees and get back in business. However, let there be no mistake. We are continuing to preserve all of our rights under our contract, and if necessary, we'll take actions to collect any unpaid rent.
Christy McElroy: Could you say at this point, what percentage remains on unresolved versus what percentage signed the agreement?
Steven Tanger: As far as we are concerned, everybody plans to accept the deferral offer. If they do not, we will preserve our rights under the lease. If there are any changes in our offer, then we will put forward requirements to change some of the tenant-friendly language to more landlord-friendly language. But right now,, we're anticipating that virtually all of the tenants will accept, and we're looking forward to getting them open. Of course, we're happy to update you as the year goes by.
Christy McElroy: And in regard to the expense reductions, can you provide some additional information on your efforts to reduce the property operating expenses while the centers have been closed? And, are you looking at property tax deferrals or abatements at all?
Steven Tanger: Yes. Every year, we look at the local property tax bill. And as standard practice, there are attorneys that review those bills to be sure that they're accurate and appropriate. Most of the bills are due later in the year, sometimes in December. So, we have time to work with the local communities on that. But, we want to continue to be good corporate citizens as we have for close to 40 years. We feel the property tax provides revenue for police, fire, teachers, first responders. So, there's a balance in being a good corporate citizen and being sure that the property tax is reflective of the value of the property in today's world.
Christy McElroy: And I guess in terms of what you'll report for operating expenses in the second quarter, aside from property taxes, are there any other property operating expenses that you'll be able to cut during that period, aside from utilities, which is presumably lower.
Steven Tanger: As you may know -- pardon me? Jim, do you want take? Sure. Jim, go ahead and take that.
Jim Williams: Sure. Christy, we’ve been able to cut a few million out of the operating expense budget. It's not a good run rate to use right now, because it's based on the lot of the stores being closed. Our centers never closed. So, we still have security and maintenance and those types of costs. But, we have reduced hours that does help us to save on costs as long as the center is operating on reduced hours. But, as we ramp back up, some of those -- I'm sure those costs are going to return.
Operator: The next question comes from Todd Thomas of KeyBanc. Please go ahead.
Todd Thomas: Hi. Thanks. Good morning. Steve, you talked a little bit about what you're experiencing at the centers as stores begin for reopen for the 50% of the portfolio, I guess in locations where restrictions have been eased. Is there a time at which tenants must reopen once retail establishments in that location are given the go ahead? And what rights do tenants have regarding that reopening process per the lease?
Steven Tanger: We do have a strong contract with each tenant in the properties. As we reported, at the end of the quarter, we were 94.3% occupied. We are working with the tenants to try to get them open as soon as possible. And we're providing an open-air environment where our customers will feel comfortable returning and enjoying shopping again. The leases require continuous operation. And if necessary, we will enforce our rights under the lease.
Todd Thomas: Okay. And in your discussions with your retail partners, what's the biggest challenge or hurdle that they're discussing in terms of reopening for some of these centers now, it has been a few weeks? Is it staffing, inventory, safety? Do you have a sense for what the biggest obstacle that they're facing in the reopening processes?
Steven Tanger: Todd, as you might imagine, we have over 320 different tenants, each with a different perspective and business model. So, it's very much tenant by tenant. I hate to be redundant, but our entire team is working with our tenant partners, trying to help them facilitate a prompt reopening of their stores to start clearing their excess inventory and getting back into business. The outlets by all conversations we have with our tenants remains one of, if not their most profitable business division. And they all want to get back to work as do most people in this country.
Todd Thomas: All right. And then, just one last question here. I was wondering if you have information from either your Tanger club membership program or your shopper app or otherwise. Do you feel the sense for how much of your shopper base across the portfolio shops at your centers while traveling, maybe staying in a hotel? Do you have to have a breakout of that between sort of air and car by any chance?
Steven Tanger: Whatever breakout we have and we have very sophisticated data on our customers, pre-COVID. I don't know how much value that has in this world. I'm happy to continue that dialogue with you as the year goes by, and we can see what the new normal looks like. But, I really don't have a really good, accurate answer for you today, would be obsolete.
Operator: The next question comes from Greg McGinniss of Scotiabank. Please go ahead.
Greg McGinniss: Hi. Good morning. Just to avoid any confusion here, I'll be a bit more formal. So, Mr. Tanger, could you give us an update on current leasing activity? And I was encouraged to see re-leasing activity through March was in line with last year. We're just trying to understand what's happening now in regards to expiring leases and then, what the impact may be on rent spread or occupancy, tenants willing to sign options right now or are most renewals being renegotiated?
Steven Tanger: We continue to renegotiate -- not renegotiate. We continue to work with our tenants to renew existing leases in our existing portfolio. And I appreciate your noticing that the volume of the extension of the leases is pretty much consistent with last year. As you might imagine, in this crisis mode, most of the tenants have pushed the pause button, talking about existing renewals for a while, until they get back open again. We are in very exciting conversations with several new-to-Tanger and in some instances new-to-the-outlet concept tenants to either open permanent stores with us or open popup stores where they can test the outlet concept and possibly continue to roll out new stores upon that success.
Greg McGinniss: Okay. Thank you. And then, to follow up on a Christy's deferral question, just looking for a few more details. The deferrals include -- is that inclusive of reimbursable expenses or is it just base rent? And then, at this point, do you have any idea how much rent you may intend on shifting to cash accounting from an accrual basis?
Steven Tanger: The deferral includes base rent and extra charges. And as with the information we have today, we have shifted no receivable to a cash basis.
Operator: The next question comes from Samir Khanal of Evercore. Please go ahead.
Samir Khanal: Hey. Good morning, Steve. I guess, to expand on the previous question. I know you've talked about sort of engaging with many retailers about opening stores, dealing with sort of excess inventory and sort of curbside pickup. Can you expand on that a little bit and just talk about generally the tenant demand? I mean, I don't need you to go into every specific retailer disclose on that, but just kind of generally what categories are looking to come into the space, especially for all of the sort of the 300,000 square feet that you've gotten back kind of in the first quarter here.
Steven Tanger: Good morning, Samir. As you know, obviously, we're only three weeks into opening up America again. And people being free and allowed to leave their homes and travel about, I don't really want to get into for all kinds of reasons, names of these exciting tenants that we're talking to, but it's a mix of existing designer and brand name tenants that we've worked with for years that may be testing brand extensions. And it's a new online only e-commerce tenants that are looking for a physical presence. And it's some designer tenants that still feel there's a market in the outlets, which has been very successful for them to continue to open new stores and to expand their market to outlet shoppers, which have always been aspirational shoppers. Look, you get the best brand name and designer names in the world at prices that are more affordable. So, for every challenge, and there are lots of challenges, people today are planning to take advantage of these as opportunities. We have an environment with the lowest cost of occupancy, so very profitable for our tenants. And we have a dedicated, seasoned team of real estate professionals talking to wide, wide universe of potential tenant partners, led by Steve Yalof. And we'll keep you up to date as the year goes by. But, as we've all said, we are optimistic that over time, America is going to reopen, businesses will start to generate cash flow and profits, and the outlets will be a place to shop. I hate to say this again, but I love to say it. In good times, people like a bargain, and in tough times like these, they need a bargain. Our business model for 40 years has been sustained.
Samir Khanal: Okay. And I guess,, my second question is on the dividend, and maybe shifting over to Jim. When you look at your 2019, I think sort of $1.32 was paid as ordinary income. And I guess, I'm just curious as to how you can only pay one dividend at this time and sort of satisfy the taxable income here.
Jim Williams: Hi, Samir. So, when we pay the May 15th dividend, that'll be our second dividend for the year. Just to clarify that. And there's -- it's a taxable income and book income are completely different things. And we certainly can see certain tax scenarios where we might be able to use some deductions that's supported to us by the CARES Act, that will allow us to meet the minimum distribution requirement this year.
Samir Khanal: Okay. Thanks for that.
Operator: The next question comes from Craig Schmidt of Bank of America. Please go ahead.
Craig Schmidt: Thank you. My question also focuses on the possible new tenants. I mean, there's clearly a need for the existing U.S. retailers to liquidate their inventory. But, it also seems like there's a lot of orders that were cancelled in March and April that suggest that maybe the vendors have excess inventory to get rid of. Is there any way to have the vendors take part in the entry of possible new tenants for Tanger?
Steven Tanger: Good morning, Craig. Most of the product that you mentioned that's made in various locations around the world, that's being delayed -- the shipments are being delayed or canceled, have a brand name and the label, very difficult to take that out. And as such, it would be difficult for us to cut out our tenant partner and go directly to their supplier. I don't think that we're not set up and nor would we be interested in doing that. So, we're only working with the brand names that we have existing and new brand names.
Craig Schmidt: Okay. And then, these new tenants, do you think they could be open by third quarter?
Steven Tanger: It depends on how quickly they want to move. We can in some instances get them open next week. And we are working with several new people that will be open. We hope in second quarter. That's our plan. And there's no reason why they can't be.
Craig Schmidt: Okay. Thank you.
Operator: Next question comes from Vince Tibone of Green Street Advisors. Please go ahead.
Vince Tibone: Hi. Good morning. How are you thinking about offering additional rent deferral in June and beyond, if foot traffic and sales are slow to recover during the initial reopening phase of the country? How long do you -- before you expect to get back to your normal levels of monthly cash collections?
Steven Tanger: Vince, right now, we have no intention of extending the deferral program.
Vince Tibone: Okay. Fair enough. I mean, what's your tact if on June 1st, a lot of companies or your partners just choose not to pay rent? And then, it's probably more active negotiation than prior, given the decision to offer rent deferral for all. I'm just trying to get a sense of when -- or how you will handle the situation? It seems likely in a lot of cases.
Steven Tanger: Vince, we have taken a very proactive approach with our tenant partners. We were the first at the end of March to go to our tenant partners with our handout and say, we're happy to try to help you through this situation, we understand you're going to be closed and you will have cash flow issues, and be able to defer the rent, not abate the rent but the defer rent until January and February after you've had a chance to sell through during the Thanksgiving holiday and Christmas holiday seasons, where most tenants are able to monetize their inventory.Today, we have no interest in extending that deferral period. We feel that we have a very strong, enforceable contract. And not our first choice, but if we're not able to get the tenants open, we will reluctantly pursue every right we have under the lease.
Vince Tibone: Okay. That makes sense, helpful color. One more for me. Could you discuss any cotenancy clauses that are common in your tenant leases? Are there any risks associated with any individual tenant or a center’s total often levels?
Steven Tanger: Most tenant leases have some sort of cotenancy clause. Since we don't have any big department stores, they're not normally tied to a major anchor. There may be one halo brand, but we're pretty comfortable with that. Most cotenancies also have a requirement for occupancy levels. But, our leases are written, so that we're comfortable there won't be a cotenancy issue because our leases for the most part say the space will be either leased and/or open. So, if the tenant decides not to open but still leased, it qualifies as lease occupied space.
Operator: The next question comes from Mike Mueller of JP Morgan. Please go ahead.
Mike Mueller: Yes. Hi. I'm curious, for the centers that you've had reopened so far, can you talk a little bit about how sales have trended in relation to traffic?
Steven Tanger: Good morning, Mike. We have, as we mentioned, in South Carolina, about a third of the stores now have reopened. More stores are opening every day. And some of the larger, well-known tenants, we call them halo tenants, where people travel a great deal to go and shop, will be opening over the next two to three weeks. So, any traffic or sales data would be premature. And based on a really small sample set, we'd be happy to update you each quarter as the year goes by. I will say you anecdotally from reports on site, the store managers, whose stores that have now opened are delighted with their sales. The consumers are delighted to go back to shop again. And the tenants and Tanger or doing whatever we can to follow guidelines, provide an area where -- provide an environment where our customers feel comfortable. And that's our primary goal is to get the centers open again, get the tenants installed, let's just get back to business and move forward.
Mike Mueller: Yes. And I guess for the reopenings. Are you the mindset, you're thinking that this is one scenario where it takes maybe several weeks to a month or so, a month or two to kind of get tenants back to open, or should we be thinking of this like, I guess a new development project where it can take several quarters, so, a year or two to stabilize in terms of occupancy?
Steven Tanger: Okay. Mike, every tenant is different. It only took us three or four days to refresh our center. As we mentioned, Tanger never furloughed, never laid off a single employee. Every employee of Tanger had a paycheck and their health benefits continued. That is morally the correct thing to do in my opinion, but also from a business perspective. The team now is back in place. They're well trained, well motivated and ready to serve our tenant partners. Every tenant has a different strategy. Every tenant has a different timeline. I can't give you a precise answer. It's not really like a new development for us because it's an existing asset with existing customers. So, we're working hard to get our tenants open. And the professional tenants are working hard to get their stores open because they have a lease obligation, a contract to pay the rent, and they understand that and they're working hard to get their stores open.
Operator: [Operator Instructions] And we have a follow-up from Christy McElroy of Citi. Please go ahead.
Michael Bilerman: Good morning. It’s Michael Bilerman here with Christy. So, is it -- are people referring to it’s now Mr. T and Mr. Y, internally?
Steven Tanger: Hi, Michael. How are you doing? I was hoping you to be able to join the call today. We call various different names. It's Steve Yalof or Steve Tanger or SY or ST, but just call us.
Michael Bilerman: Right. Well, I have a question for Yalof. What -- maybe you can talk a little bit about -- you talked about the three things that you've been focused on, but maybe you can just step back in terms of thinking about the opportunity to join Tanger, eventually become CEO. How do you think about that opportunity, that portfolio relative to where you sat before with Simon, which obviously is also within the outlet business, but a higher productive portfolio, a little bit different of a tenant base, I guess what drew you to Tanger and the opportunities that it affords?
Stephen Yalof: Michael, thanks for the question. I appreciate it. Well, first of all, I mean, I'm thrilled to have joined Tanger, its great management team, great marketing team, and I'm looking forward to the partnership with Steve. Obviously, we see a lot of opportunity in the outlet business. I've been in the outlet business pretty much in my entire 30-year career. Not only have I been a landlord -- on the landlord side previously, but I've also done outlet deals as both the tenant with both GAP and Ralph Lauren. But, the one part, we don't really talk about is I'm also an outlet customer. I shop them frequently. I believe in the channel. And I think that there's great upside and great opportunity for our open-air value-oriented shopping centers, especially in today's day and age.So, from my perspective, with some of the things that Steve and I have been talking about, as far as what we think that we can do on a going forward basis, I think it's important to really focus on what's happening right now. And the critical focus for us is obviously the safety and the health of our employees that are working at shopping centers, some of which have, as Steven mentioned earlier, the centers had never closed and have been working through, and now also supporting the retail partners as they get opened and start servicing the shoppers and our customers. And we're thrilled to have had some good successes over the past few weeks, as we've been getting open. Our national tenants are starting to get open. Our food retailers and our kiosks and popup stores are getting open. So, we're enjoying watching as the lights get turned back on, the centers get energized, the customers come back. And that's really going to be our focus for the foreseeable future. And then, hopefully, going forward we'll start talking about plans for what's next for Tanger.
Michael Bilerman: So, your tagline is going to be I'm not only the Tanger President, I'm also a client, stealing from the [indiscernible].
Stephen Yalof: Thanks Michael….
Michael Bilerman: So, Yalof, you talked a little bit about the rent collections, 88% not paying in April, and that's going to go higher into May. What percentage of those -- because you started this program in late March, what actually of that 88% had actually now signed your deferral agreement to pay rent in January in February? I assume a good portion of them have, because we're two and a half months into this. Just to give us a sense of how much is still on the table versus not, because as we come into June, I think you're not going to be offering any more deferrals. That breakdown is going to be important because let's say half, let's just say 50% accepted your deferral and 50% didn't. The tenant may still not pay rent in June that half. So, I just wanted to get some clarity on the breakdown of what actually has occurred.
Steven Tanger: Michael, let me take that. Clearly, at the risk of being redundant, we've offered a gracious solution for our tenant partners to get open and to try to help them. We've made that offer. We're assuming that they will accept. We feel comfortable with those that have accepted. We have appropriate documentation. And if June 1st comes and we're not comfortable, we intend fully to pursue our rights under the lease. It's premature for me to give you an actual number without -- I really can't -- if I had the number, I’d be happy to give you, but I don't have it yet. And we'd be happy to report it to you in 90 days.
Michael Bilerman: I don't need a specific, it's 42.3%. I think, it's just trying to get a sense. You clearly -- I mean, we started this in late March. We're now sitting here in mid-May. Two and a half months have passed. Just to get a sense of like well -- half of them. And look, I think you did a very honorable thing. You're allowing your tenants not to pay rent when they had lease agreements. I don't think we've seen any other REITs actually go to their entire tenant base and say, you know what, don't pay us we know you're hurting. So, I know it's going to build goodwill with your tenants. Let's hope, let’s hope most of them stay solvent, so that those rents will get paid. But, we're just trying to get a sense of well, did half of them accepted it, only a quarter, it was 75? Just some range or some goalpost to think about, because it'd be helpful to -- that having a little bit more certainty around that, I think gives investors confidence of what the future may hold.
Steven Tanger: It's too early for me to give you the certainty that you're looking for. I can do that in 90 days when we have more information. As I mentioned, we're going under the operating assumption that if they have not paid April and May, they have accepted and we have appropriate documentation that they have accepted the deferral. And we'll see what happens in June. And we expect that the tenants will honor their contract. And if not, we'll take whatever necessaries that we deem appropriate to protect our rights and the rights of our shareholders. But Michael, I can't give you more information than that today.
Michael Bilerman: Okay. I think, the added uncertainty is probably going to -- I mean, it’s just more uncertainty, I think actually having at least saying like half of them have signed it and taking it or quarter at least, giving some sense to the Street, because I think most people, given the environment are just going to assume the worst that no tenant has actually signed the deferral or a very small percentage. And we're going to roll into June and see what happens versus having the confidence and saying well look, a good majority of them has -- we've spoken to them, they've accepted it. They understand. They're thankful. They're grateful. And their intention is to start paying us rent in June and pay us back for April and May, next January and February.So, if -- I would say, if you -- instead of 90 days, I would say if there's -- as we roll into June, I think a proper update to the Street maybe at NAREIT would be would be helpful.
Steven Tanger: I appreciate that. I will tell you that our tenant partners echo what your thoughts are. They very much appreciate our sensitivity to their issue, and we'll see what happens. And if they're able to -- or if they are willing to fulfill their legal obligation.
Michael Bilerman: Yes. Okay. Thank you. Stay safe.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Steve Tanger for any closing remarks.
Steven Tanger: I want to thank everybody for joining us today. This will be, as most, a very interesting journey this year. Once again, I'd like to welcome Steve Yalof to our team, and thank everybody on the Tanger team for all their hard work during these extraordinary times to maintain the viability of our shopping centers. Wishing each of you good health, and please be safe. Good bye now.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.